Operator: Good morning. My name is Jessica and I will be your conference operator today. At this time I would like to welcome everyone to the Wix.com 2018 Third Quarter Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question and answer session. [Operator Instructions]. I would now hand it over to Maggie O'Donnell, Director of Investor Reltions.
Maggie O'Donnell: Good afternoon, and welcome to Wix's third quarter 2018 earnings call. Joining me today to discuss our results are Avishai Abrahami, CEO and Co-Founder; Nir Zohar, President and COO; and Lior Shemesh, CFO. During this call, we may make forward-looking statements, and these statements are based on current expectations and assumptions. Please consider the risk factors included in our press release and most recent Form 20-F that could cause our actual results to differ materially from these forward-looking statements. We do not undertake any obligation to update these forward-looking statements. In addition, we will comment on non-GAAP financial results. You can find all reconciliations between our GAAP and non-GAAP results in our press release, presentation slides, shareholder update in our Interactive Analyst Center on the Investor Relations section of our website, investors.wix.com, which we recently rebuilt using Wix Code. On the website, we have also added a Web Help section using Wix Answers called the Investor Learning Center that we encourage you to check out. Now, I will hand it over to Avishai Abrahami, who is going to say a couple of quick words about the quarter. Avishai?
Avishai Abrahami: Thank you, Maggie, and good afternoon, everyone. Thank you for joining us today. We had another fantastic quarter at Wix. Both collection and revenue beat our expectation and our profitability is increasing, reflecting a strong combination of growth and profitability. Revenue increased 40% and collection increased 36% year-over-year. Non-GAAP operating income grew to $16 million, an all-time high and operating cash flow reached a record high of nearly $28 million, driving free cash flow to nearly $24 million. We are increasing the monetization of our subscription, ARPS was up 11% year-over-year. This increase reflects our ability to develop and deliver valuable products to our users. Wix is in the middle of a strong major product release cycle, and I'm very excited about our momentum. We recently introduced Wix Payments, a complete payment platform that enables small businesses to manage their entire financial flow through Wix. Wix Payment will work for not only e-commerce businesses, but any type of business that takes payment online. This is very exciting step in letting users manage and grow their business on Wix. Wix Code continues to gain momentum in the professional designers and developers communities. Users of Wix Code of purchasing multiple subscriptions at a rate of more than four times non-Wix Code weeks. This shows us that our strategy is working, as usage by professional is increasing, we are also seeing more complex and robust websites than we have ever seen on Wix. We also introduced Wix Video Maker this quarter. Creating engaging video content for advertisement is a challenge that small businesses often face. We believe that the Wix Video Maker makes it easier for small businesses to create video content and compete with the larger businesses online. The new modern DeviantArt platform is currently being tested with our most active community members. We are on track to launch it to all users in the coming months, which is in line with our initial schedule. Finally, on December 11, we plan to announce a new product that will further help small businesses manage and grow online. I'm very extremely happy with our progress to-date, and look forward to continuing this momentum into 2019. With that, I'm going to hand it back to Maggie.
Maggie O'Donnell: As a reminder, please limit yourself to one question. Please also note that you can ask questions through our webcast, which can be found on investors.wix.com. Can we have the first question, please?
Operator: Yes. So the first question comes from the line of Deepak Mathivanan from Barclays. Please go ahead.
Akshit Aggarwal: This is Aki on for Deepak. Thanks for taking my question. So, question on your registered users and premium users. In 3Q of last year, you had about 188 net new premium users from 5.2 incremental users and this time, your net premium users were down to 1.77 on a higher incremental registered user base. So just trying to understand, how do we parse that, is that churn, is that lower conversion, if you could just give us what the drivers of that are?
Lior Shemesh: So, if you remember, earlier in the year we talked to you guys about how we are focusing more on more high value markets, such as the U.S. and U.K. And I have to say that the tactic, we think has proved itself very well throughout the second half of the year. We can see that in terms of our ability to bring higher ARPU customers and I think that this is also emphasized by that 11% increase in the ARPS year-over-year. It's important to mention that we still maintain the same the TROI, which is our target. So, we actually see this as a good trend and we also expect that to continue going forward.
Operator: The next question is from the line of Matt Chandler from Bank of America Merrill Lynch. Please go ahead.
Matt Chandler: Just can you help us with a little bit more detail on Wix Payments, you mentioned that it's 25% better than competitive offerings at process approval. Can you help us out of what the competitor was, I believe that was a test in Brazil? And where you see this bidding in the landscape of different payment processing options that exist out there?
Avishai Abrahami: I just want to say, so, yes, we tested it in comparison to a local solution that where the market that we've tested it in. And we show dramatically better result, 25% is really high. I don't believe that the difference will be this high in other -- in the U.S. or in most of Europe. However, I do think that it's a really good solution, it's probably still going to create some improvement even on the approval rate. And I think that's pretty much easy, beyond that it's pretty much a standard commission that we're going to take standard market, standard commission.
Lior Shemesh: Matt, as I just said, I think what's interesting from our perspective for the payment solution is that when we think about it, our users, they go across through the whole flow of building a website -- developing a business online, and in many cases, and by the way, not only in the cases of spending off e-commerce, also if they're a restaurant and they wanted to take away, their musician then want to sell their music, if they are running events, and they want to sell tickets, if they have a bookings because they are -- yoga or spa, all of these people, they need the ability to add some flow of payments into their business. And our idea is that we're trying to just streamline that process, making it super, super easy for them.
Matt Chandler: Just a little quick follow-up. The users of this product, what are the e-commerce users of your platform, your e-commerce customers using currently? And do you envision this actually going more downstream to guys again like garage bands, who are selling CDs who probably couldn't do CDs and run anything because they had no payment capability prior, now they can, so are you just opening up the large groups that are the non e-commerce users of your site currently?
Avishai Abrahami: Sure. I think, first of all to answer your first part of your question, this solution will also be available of course, to our e-commerce users. But they -- and today they have a variety, they can use anything from PayPal, Square and tons of other payment providers. Beyond that, yes, we do believe that there is a big need for something that is easier to provision and provide really strong high-quality results and we see that sometimes actually also at the top of the market, but mostly in the lower part of it. However, we intend this payment solution to be the default for all Wix user going forward, we're not going to force users that they've established relationship with another provider to change, but we do believe that this is probably going to be the recommended payment solution.
Matt Chandler: Just finally, and I believe this should be clear but, isn't it -- this will have a negative effect on your gross profit margin going forward, but it as it adds incremental revenue at a low take rate? Is that how we should think of modeling it?
Lior Shemesh: Hi Matt, this is Lior. You're probably right. I don't know exactly what will be the overall impact, obviously, it will start next year. But I don't think that it will be significant. Long-term, you're probably right.
Maggie O'Donnell: Great. Thanks, Matt. Can we have the next question, please?
Operator: The next question comes from the line of Ron Josey from JMP Securities. Please go ahead.
Ron Josey: Great, thanks for taking the question. I wanted to revisit maybe other side near the comment earlier to the question around subscription, net additions and the trade-off with ARPU and the focus on the US and UK. And so, specifically, could you all provide maybe more detail on the 5.5 million net registered users? I'm assuming therefore they're more overseas as the US maybe grows slow. And then on the other side of that from an ARPU increase, can you talk about maybe the drivers there, are there in product adoption or perhaps like a new bundling that occurred intra-quarter if that led to the 11% increase? Thank you.
Avishai Abrahami: We don't see a decrease in the US growth, right, it is pretty much very similar and which we actually see that it's going up. So, a lot of it is actually coming from more English-speaking countries. So that's regarding to your first part of your question. Do you want Nir?
Lior Shemesh: Hi, this is Lior. I think that with regards to the net subscription, obviously as you can see, we manage to beat on collection. So obviously, there was no effect in collection actually, most of the beat on collection was because of higher ARPU. Our ARPU was resulted from those changes that Nir spoke about before and some of it, got to do with the changes that we've made for example, with the pricing page. So, the focus was on last time value of our quote and those changes actually drove it up. With regard to your second question about the ARPU, which was 11% up on a year-over-year basis, so obviously, we also provided in the document the adoption of the vertical as you can see, it has been tripled in the last 2.5 years which is amazing to approximately 44% of new users adopting vertical solution. So obviously that has a positive impact on the ARPU, because those people are paying a premium to the regular packages. In addition to that, we have a new pricing layout as I mentioned before. And that was launched a few months ago, which drove ARPU up. The third one is how our ARPU was a result from changing some of the renewal process of and matching it to the level of services that will provide to our users. And obviously, the last one was the removal of the lowest pricing tier which has a positive impact on ARPU, but a bit of a negative impact on net premiums and that's also answer your first question.
Operator: The next question comes from the line of Brent Thill from Jefferies. Please go ahead.
Brent Thill: Thanks, my question is around Code. I think back in February, you mentioned over 100,000 users. Now you're seeing over 550,000 users, which is up, obviously very nicely. I'm curious if you could just talk a little more about the economics and what you're seeing there? And how you're thinking about the layering in on the pricing? And then also, I just want to clarify, your still in beta, and when is your expectation for G&A or at SG&A yet?
Lior Shemesh: So, of course, so every day, 500,000 users that they've been using Code to some level and about a 100,000 that really went deep into Code. I think those two groups are very different, I knew they are. And the second group is mostly professional developers. So that will be professional developers of websites, designs in some cases and just really developers like software developers. So, we see that -- we are very happy with the numbers. I think for me, the 1.5 million is really surprising, we expect most of the users to go show deep into the product, but you can see that it does happen. And to the second -- toward the second group, I guess it was our strategy which code was to enable Wix to become a place where we explained our time into -- people that needed a lot more, that needed to develop things that before that you couldn't do on Wix. And then we're moving to the more professional market and I think we're seeing clear signs of that now. As we wrote and I said in the call before, the fact that we have four times the subscriptions on average, right from this group that four times will likely to have a -- in additional premium, we see that the traffic to the website is five times higher. Right, so we see all the signs there. I believe that in regards to when we're going to see massive retails from Wix Scores, it's going to be in 2019 which was from the beginning what we assumed. The product is really good. But I think it's going to be incredible early in 2019, I think that's going to make not a massive shift, and of course we are allocating and marketing budget toward Wix Code going forward. So, if I look at it, right, and this is something very unique when a company just goes -- and every company's life when it approaches a new market and it starting to grow into that, we are at that place, and I think the results now are super promising.
Maggie O'Donnell: Great. Thanks Brent. Can we have the next question, please?
Operator: [Operator Instructions] And the next question comes from the line of Naved Khan from SunTrust. Please go ahead.
Naved Khan: Yes, hi, thanks a lot. I just wanted to get a little bit clarity on this 4 times kind of subscription level for the highly engaged users of Code. If you're counting the premium subscribers, are you counting the Code users once or is that somebody who will get counted twice or sorry four times just because they're buying roughly four times or more subscriptions? And then I had a follow-up.
Avishai Abrahami: We're looking at people that have more than one premium, right. So, if you have one premium, you would not -- you will be counted as regular user, most of our users will have one premium. And because they buy -- building a website for themselves. And in this case, we see people that have two or more premium, right, accounts -- subscription activated under one account, which tells us that they're most likely building it for somebody else or they're building a bigger project. And so, it's very easy for us statistically to depreciate between more professional users, to be able to actually makes money out of the project to building website for themselves.
Naved Khan: Right. So a Code user was buying maybe four times the number of subscriptions, is he getting counted four times or is it just once subscriber, one premium subscriber?
Lior Shemesh: Four times more likely to buy more than one premium.
Avishai Abrahami: But we haven't made any change in the methodology of how we count users itself, if that what you're asking. So currently, there is no change in how we should think about it.
Naved Khan: Okay, that's helpful. And then quickly, maybe FX related, currencies have been pretty volatile. Has there been any impact from that on your outlook?
Lior Shemesh: Yes, so with regard to Q3, the impact was not so significant since that time since July time, where we provided the guidance, it was approximately $0.5 million. Most of the impact is on our guidance for the fourth quarter and the impact is approximately $2 million, it means that, if having stayed with the constant dollar of the July guidance, we should have increased the guidance for the full-year by $2 million. So that was the result. On the other hand, on the operating expenses, as you know, most of the salary are in Israeli Shekels, and there we have the benefit. So, this is why there was no negative impact on the overall cash flow.
Naved Khan: Got it. And then just to clarify, the $2 million impact was in collections or revenue?
Lior Shemesh: Collection. Collection for the fourth quarter, correct.
Maggie O'Donnell: Great. Thanks, Naved. Can we have the next question, please?
Operator: Our next question comes from Jason Helfstein from Oppenheimer. Please go ahead.
Jason Helfstein: Thanks. So just, first on the Payments, was that, I guess, you can do the big product that I guess, we've been asking about that you haven't been willing to talk about, so is that kind of the big product you've been working on?
Lior Shemesh: Well, we look at it as a very important product and a super exciting product. But the one we discussed earlier and in this year is the one I'm going to reveal next month.
Avishai Abrahami: December 11th. That is a different product.
Jason Helfstein: And to the extent that premium subs albeit healthy continues to slow, while I wouldn't expect you to give guidance for next year, how are you thinking about premium subs relative to growing total collections, and obviously you're successfully moving ARPU due to a number of factors that you've outlined. How are you thinking about kind of what we should be thinking about over the next 12 months to 18 months with respect to kind of premium subs and overall growing collection?
Lior Shemesh: So obviously, I cannot provide the guidance right now for the number of premiums, but I can tell you that, on the [indiscernible] regular premiums, meaning the same business that we have right now, obviously, there will be an impact on the number of net premiums, mainly due to the fact that we remove the lower package, the connect domain package, because of many reasons. The first one, obviously, it's for branding purposes, the second one, we understood that by doing that we increase the lifetime value of our quote. So, it is going to have an impact on net premiums. On the other hand, we are talking about many new products that we are going to launch and already launched, like the Wix Code and what Avishai spoke about, about people creating more websites for others, and that's going to have a positive impact on the overall number of net premiums. In the end of the day, we do measure everything based on the TOI, as you know, and this is what lead us in taking the decision. So, there are basically two impacts; one is, we'll take it a bit down and other one will take it up. At this stage, it is hard for me to tell you exactly what to put on the model and what is going to be it.
Operator: Of course. So, the next question comes from Ygal Arounian from Wedbush Securities. Please go ahead.
Ygal Arounian: Hi guys, thanks for taking the question, a couple. So, first on Payments. Can you help us try to understand the total opportunity for you guys and I don't know how much you could share, but first of all, what's adoption been like so far in Brazil, maybe that will help us understand a little bit? And then we've seen Payments be a big opportunity for a lot of companies that have launched it. And anyway to help us frame the level of GMV across -- that comes across your platforms? I understand that you're not going to force people to use it or -- but in terms of thinking -- how we think about pricing and if you'll price in a way that's super competitive that will kind of force people to be on it or otherwise they're paying a lot more if they're not? And then I have a follow-up question.
Avishai Abrahami: So, to answer the first part, in Brazil, we show massive adoption, the Company must have dominate payment gateway that we have, and -- so we're feeling really good about it. In the other countries, it's going to be very competitive in terms of price. So, I believe we are going to have a lot of people actually using it, we're not going to force anybody to move to it and so basically, you should look at it -- the way we open it, the GMV on it will be zero, all right, and then very quickly, and in the rest of the world -- why the GMV will be very low and very quickly, it will start to ramp up and -- so probably in the second half of 2019 is where it will be significant.
Ygal Arounian: Okay, thanks. And then maybe a quick one on Code. So I know that you're seeing some meaningful uptick, especially with professionals. Help us understand, you did a little bit, but can you help us understand a little bit more of pros that are using it, what kind of sites are they building, is it mostly -- it's like internal developers, digital agencies, e-commerce agencies? And are you seeing maybe Code plus stores, as well some of the verticals driving Wix Code to be, maybe a replacement or a competitive relative to some of the higher-end e-commerce platforms?
Avishai Abrahami: Yes, so actually, I'll be happy to do that, and we actually provided some examples, right, in the reader materials, you can take a look at them, which I think illustrates things you can only do with Wix and Code, OK. So, I don't think you can do it any other place unless you rebuild the site to almost zero. So, if you go for the first one, there is a skateboard selling company called Eye Symmetry, surfboards -- sorry, surfboards, sorry, surfboards and you can see what it did is that basically it's a common science, it's a surfboard, but you have the ability to design to look the way you want and to do that, you needed a way that they can program the visual editing on the web, but beyond that, they have databases, they have -- or they use Wix store to combine everything together. So, this is a great example of one of the classic scenarios that you see. I want to take you to another example, which will be the next one, which is the Broadway Tribune, right? So, this is less over e-Commerce side, so they do have a lot of information and the need to create a way to present that information in unique ways, transfiltering, again a lot of dynamic pages and databases. So those are just samples, OK, however, from a 100,000 users that are deeply using Wix Score, they consider them, we can see pretty much everything that we were thinking about. We do see P&L applications inside organization happening, which I think is amazing because this is really crossing the line, which is not just who makes the website, right or who makes -- and then is it somebody making the website for himself or a professional making website, this is something completely different, a developer making something internally for organization in many ways, it's not a website, it's an application. So, we've seen all of that and it's super exciting.
Maggie O'Donnell: Great, thanks. Can we have the next question, please.
Operator: Of course. The next question comes from the line of Lloyd Walmsley from Deutsche Bank. Please go ahead.
Unidentified Analyst: Thanks for the question. This is Seth on for Lloyd. Just a question about the older vintage renewals in the shareholder letter, you talked about raising the prices. And I was just curious when in the quarter, did you do that and what kind of impact should we expect to ARPU in 4Q and beyond from that price hike? And then when you look at the broader base of subs, is there a larger opportunity for price hikes than what you've put into effect? And could that move higher over the next maybe year or so? Thank you.
Lior Shemesh: So yes, the impact has already happened in the third quarter. And I think that it will continue to increase the ARPU also in the coming few quarters and obviously next year. I think that you know the way that I'm looking at is more than our price increase, actually matching the price with the level of services that those guys are getting from other products that we have launched and so on. And the result of that was, there was literally no increase to cancellations. So, I think that's just true of the fact that those guys are really happy with the product and so on, and we felt that it's the right time to do that.
Operator: Of course, the next question comes from the line of Sterling Auty from JPMorgan. Please go ahead.
Ugam Kamat: Hi guys, this is actually Ugam Kamat on for Sterling. So if I look at the number of or I would say, customer cohort, which is paying you for annual versus monthly. We are seeing that kind of flattened around at 82%. Any particular part that you have that you might use in the future to convert customers toward more annual versus monthly?
Avishai Abrahami: So, I think, we definitely always see to over time just mature and move from month subscriptions to annuals. But that being said, I think that the rate we are at now is a reasonable one and I don't think it's going to change dramatically. And the reason for that is a lot of businesses and lots of use cases that actually require the monthly subscription. There are lots of designers who will just build them and then start with monthly, only then we will see annual. People who run events and one of the shorter term subscription, weddings that usually require shorter term subscription. So I think again it might still fluctuate with a few -- like 1% or 2% upwards over time. But I think in our mind, the rates we are at now is a very reasonable one.
Operator: The next question comes from the line of Jonathan Kees from Summit Insights Group. Please go ahead.
Jonathan Kees: I actually have a question and a request for clarification. My question is, I'm trying to understand commentary effort that you've done to take ADI for example and Wix Editor and do that in language, expand geographically into new country markets, and yet your geographical revenues, sequential rates for the non-English speaking regions decreased and declined and even though that's been a focus area. And then my clarification would be the commentary earlier about more websites increased on curve, does that mean that the users of this business will become new additional premium subscribers? So, in that case, that number will should go back up? Or show growth in 2019?
Lior Shemesh: I'll take the first part of the question. In terms of the geographic penetration, you have to remember that we have to show here is, is the full cake of the 100%. And as you've seen a higher uptake in the English-speaking countries and better conversion then obviously they're taking a larger part of the cake. It doesn't mean that we are growing slower in other parts of the world, actually we're seeing a great deal in other countries, we've expanded ABI this year to all of our major geographies, major languages with really great results. So, I think that in fact we are actually seeing an ongoing growth all across the Board and almost every country around the globe.
Avishai Abrahami: Yes, just want something to add. Obviously, what you see over the pie is about revenue. When we expand the ABI to other places outside of the US, so most of the impact you can see on e-commerce, which has an impact on collection, rather than revenues. So, I think that it will take some more time until you will see the impact, the positive impact on revenue, but we definitely see an improvement in conversion in those places where we launched the ADI.
Lior Shemesh: And can you repeat the second part of the question? I think you kind of missed it.
Jonathan Kees: Oh sure, it's just a clarification. I think it was Lior had earlier a commentary about with Code you would get more, you'll create more websites and I guess useful to the customers of Wix and thus it should trend for higher premium subs going forward at least into starting of 2019, it should supports that?
Avishai Abrahami: I do believe that, this is Avishai, I do believe that they're going to 2019 we're going to also introduce some more expensive subscription base, especially for Code and for more advanced functionality that we have. So, if everything will continue as good as it did until now, you will see more ARPU increase and in some cases, against occupying it without conversion of lower paying customers. So, yes.
Jonathan Kees: Great. All right. Thanks a lot. Good luck, guys.
Maggie O'Donnell: Okay. Thank you. We actually have a question from the portal that I'm going to read. The question is, can you provide a general update on DBNR?
Lior Shemesh: Yes, absolutely. So, as we said, we're rebuilding the site from pretty much in Europe, right, so when we expect it to last until pretty much now and we're just opening for new users. So was testing it on users, and we are now opening the Code to community, that will be happening in the next month. So we're really on schedule with where we wanted to be. And if you wouldn't want to see the difference guys, go, to DeviantArt. If you're lucky enough to follow the AV test, you will be amazed, it looks completely different, and it behaves completely different. And I think it's really opened to many new ways for us to monetize.
Avishai Abrahami: I'll just add that, I think it's great for us. Because, making such a change for websites that has been around for so many years is something that's raised a lot of concerns and in fact the feedback from the community so far that would be exposed to the new version is extremely positive. Obviously, also fixing some things but very, very positive. And we're going to complete the rollout by the end of the year and obviously go into more innovation in 2019. We also believe that the 2019 will be the time when we can start going back to you guys and talk more about the financial impact of DeviantArt.
Maggie O'Donnell: Great, thanks. Operator, I think we have time for one more question.
Operator: Of course, so the next question comes from the line of Mark Zgutowicz from Rosenblatt Securities. Please go ahead.
Mark Zgutowicz: Hi, thank you. I have actually a more simplistic question on Wix Cloud. Just in terms of the uptake, I'm curious what percentage is coming from your existing subscriber base versus new subscribers? And then separately, if I'm talking this right, it looks like your premium conversion ticked down a bit quarter-over-quarter and year-over-year, it's been otherwise pretty steady over the last few quarters. So I'm just curious what might have precipitated there?
Avishai Abrahami: So, this is Avishai, and I got your question. This time, see that about half of the Wix Code core users or the group of the 100,000 is coming from existing Wix users, right and that, and again, most of it with the professional users -- on Wix building sites for other people. And half are new users that came to Wix because of Wix Code.
Lior Shemesh: For the second part of the question, about the Nevad, the conversion, I'm not so sure why you came to that conclusion. Actually if you look at the slide deck, it's slide number 9, which is the Code draft that we always the supply and update. You can see that the -- in fact the conversion is increasing at all-time high, and this I think we obviously -- the result of the ongoing improvements that due to all of our product suites and our aim is to keep on driving that provision upwards as the time progresses.
Maggie O'Donnell: Great, thank you everyone for joining us today. We appreciate your time, and we look forward to speaking with you again soon.